Operator: Good day and welcome to the Synaptics Third Quarter 2016 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Jennifer Jarman. Please go ahead, ma'am.
Jennifer Jarman: Thank you, Alyse. Good afternoon and thank you for joining us today on Synaptics' third quarter fiscal 2016 conference call. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the company's website at www.synaptics.com. With me on today's call are Rick Bergman, President and CEO and Wajid Ali, CFO. In addition to the company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation, change in contingent consideration, and certain non-cash or non-recurring items. Please refer to the press release issued after market close today for a detailed reconciliation of GAAP and non-GAAP results. Additionally, we would like to remind you that during the course of this conference call, Synaptics will make forward-looking statements. Forward-looking statements give our current expectations and projections relating to our financial conditions, results of operations, plans, objective, future performance and business. Although Synaptics believes our estimates and assumptions to be reasonable, they are subject to a number of risks and uncertainties beyond our control and may prove to be inaccurate. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. We refer you to the company's current and periodic reports filed with the SEC, including the Synaptics Form 10-K for the fiscal year ended June 27, 2015, for important risk factors that could cause the actual results to differ materially from those contained in any forward-looking statement. Synaptics expressly disclaims any obligation to update this forward-looking information. With that said, I'll now turn the call over to Rick Bergman. Rick?
Rick Bergman: Thanks Jennifer. And I would like to welcome everyone to today's call. By now, you've seen in today's press release that we experienced a sizeable revenue shortfall during the March quarter that will also carry over into fiscal Q4. While we provided our best financial outlook at the time of our last call, towards the end of fiscal Q3, we saw a precipitous drop in order levels within the smartphone market, specifically centered around our display driver customers. This occurred within the context of ongoing macroeconomic issues in the high end smartphone market. In addition, our PC business was weak as anticipated and I'm sure you've seen softness across the PC supply chain reported by other companies and in the media. Revenue for the third quarter was $402 million, while non-GAAP net income was $46 million or $1.21 per diluted share. We executed well in our OpEx goals despite headwinds from the end. And gross margins were slightly above the mid-point of our guidance range. Given the magnitude of the demand reductions we saw late in the fiscal third quarter, the current macro environment and existing supply chain inventory, we have taken a cautious approach to fiscal fourth quarter guidance in anticipation that the level of product currently in the supply chain will be sufficient to meet the reduced demand for our display driver products from high end smartphone OEMs. That being said, we view this as a temporary pause in our growth and are anticipating normal seasonal patterns to return in the second half of the calendar year. In the interim, we're responding with significant reductions in our operating expenditures that will not impact our long-term growth objectives. It's important to note that the primary issue in the March and June quarters does not reflect a share loss nor does it detract from our strong confidence in the key growth drivers for our business. In fact, on a much more positive note, our fingerprint authentication business significantly accelerated during the quarter as we secured double-digit fingerprint design win from new customers in Asia and posted record quarterly revenues for this business. In addition we began volume shipment of our new TDDI solutions which we think will be strong performers in the market. Diving into biometrics, for the past two quarters, we've outlined how we have revamped our product line up and laid the groundwork to expand our fingerprint business across multiple new customers with a specific end goal of winning a large number of designs in Asia. That effort and focus has been successful. We are very pleased that our fingerprint sensors have been designed into over 20 phones including several new Asian customers, with the devices slated to launch over the balance of the calendar year. Many of these fingerprint design wins are with one of China's largest smartphone makers. In addition, we have secured design wins with three other leading Chinese smartphone makers as well as OEMs in Taiwan and Japan. To service these new customers, we signed agreements with three additional module makers with factories in China; Truly, Primax and Q-TECH. These module makers, along with our existing China based module makers, service all of the tier one smartphone OEMs in the region. During the quarter, we also maintained our leading market share with our largest fingerprint customers in the smartphone and PC markets. In the smartphones, several new models such as the Samsung Galaxy S7 have launched have with our fingerprint sensors. In the notebook PC market, leaders such as Lenovo have started shipping ThinkPad models with our latest area touch sensors, upgrading from our swipe sensors. Key to our ability to continue to win these designs is that Synaptics offers a full slate of Natural ID fingerprint solutions with form factors that can be designed into front buttons, rear panels, edges of devices, as well as through cover glass, addressing button free industrial designs. We've also invested heavily in next generation fingerprint technologies. Addressing button free industrial designs, we've invested a lot of R&D resources in developing solutions that work under the cover glass and through the display. Launching over the next several quarters, these new product offerings will further enhance the reliability, industrial design and usability of biometrics on smartphones. During the quarter, we announced our FS4304, an ultra slim area touch fingerprint sensor with industrial design flexibility to fit small spaces including the edge of smartphones or tablets. The solution is only 3.5 millimeters wide and can be integrated into side mounted buttons such as the volume rocker. It ultimately eliminates the footprint and cost required in creating an additional cut out in the frame or the glass and enhances the user experience by utilizing a natural finger resting location. Synaptics Natural ID OneTouch design backed by our deep system integration expertise delivers a high performance and reliable user experience. Natural ID provides unmatched biometric security for user authentication including SentryPoint Security Suite the industry's highest level of fingerprint security. In fact, at Mobile World Congress this year Tom's Hardware, a leading authority in tech journalism, awarded SentryPoint as best in show for best security technology. Also at Mobile World Congress, we announced the addition of an advanced anti-spoofing to our SentryPoint Security Suite. Synaptics proprietary anti-spoofing algorithms distinguish between counterfeit fingerprints and actual fingers. Performance of our anti-spoof solution has been praised by many of our leading customers and they are now integrating this technology into their upcoming products. With our new anti-spoof technology, Synaptics is the only fingerprint sensor supplier that can protect and insure the authenticity of the user's fingerprint when capturing, processing and transporting the biometric information. As a core pillar of our growth, Synaptics continues to push the innovation envelope in biometrics. We have been showcasing our recent advances to customers who are interested in taking advantage of sleeker industrial designs and human interface. Our R&D pipeline remains stacked and we look forward to announcing additional cutting edge technology slated to come online soon. Now turning to smart displays, we announced that Meizu, one of the top smartphone manufacturers in China, has designed in our clear pad discrete touch controller and is featuring our ClearForce technology for its new flagship PRO6 smartphone. Meizu is leveraging for sensing to add unique features in an entirely new user dimension to its popular smartphones. ClearForce enables customers like Meizu to create innovative user experiences for touch screens by simply varying the amount of finger pressure on the smartphone glass. Similar to our fingerprint business, we expect a growing base of customers to implement our ClearForce offerings over the course of the calendar year. Turning to display drivers, we announced sampling of our new ClearView R63353 DDIC solution, which enables the industry's narrowest borders at less than four millimeters. This new solution allows OEMs to differentiate with larger touch screens and sleek industrial designs. It supports a wide range of resolutions from full HD for smartphones to lower resolution 320 by 320 formats targeting smartwatches. We are diligently working on ramping the four new TDDI products that we announced during the time of our Analyst Investor Day. I'm pleased to report that we continue to see significant customer adoption in design win activity with this platform of solutions that cover HD, to full HD, to WQHD resolutions. We now have multiple design wins for each of the four TDDI solutions at global LCMs including AUO, BOE, CSOT, EBBG, Innolux, LG Display, Sharp, and Tinema. We have ramped our TDICs into mass production and are receiving purchase orders from our LCM partners. This continued momentum is enabling us to ramp TDDI revenue strongly with multiple leading smartphone OEMs in China, Korea and Taiwan. With discrete ClearForce now starting to be featured on smartphones such as the Maizu PRO6 mentioned earlier, Synaptics is well positioned to further capitalize on this momentum with our TouchView TDDI solution that features Intel ClearForce technology. We have a number of additional ClearForce developments in progress both for discrete and Intel solutions. As a company, we have advocated for several years now that touch and display driver integration is the next phase in the evolution of the touch screen. We are now clearly in the midst of a paradigm shift for the industry, and other players in the industry are scrambling to try to compete. Synaptics is a strongest TDDI portfolio in the industry and will continue to invest in innovating and expanding our TouchView product line going forward. On the notebook side, despite challenging marketing conditions, Synaptics continues to deliver the best performing click pads on the market today. In this quarter, our new ClickPad with TypeGuard technology started shipping in the flagship Lenovo X1 Carbon Gen4 and Lenovo X1 Carbon Yoga products. We are also in the widely acclaimed and revolutionary HP Spectre 13. We are also making great progress with our SecurePad products, a product that combines our ClickPad technologies with our fingerprint technologies for two in one solutions that delivers great industrial design options. Interest in this solution continues to be very strong and we have started to build our design pipeline. We are on the cusp of making shipping announcements regarding SecurePad and other fingerprint technologies for the PC market shortly. You may recall that last quarter we announced our entry into the automotive market. Although we already have an established display driver business in automotive with leading OEM brands in Europe, Japan and the US in mass production, we were pleased to announce several new products in partnerships in fiscal Q3. We announced the new S 7880 family of feature rich touch screen controller solutions designed specifically for the durability requirements and safety needs of the automotive market. The new ClearPad automotive platform encompasses four solutions, some of which include our proximity in ClearForce features and enables touch screens up to an industry leading 17 inches. BYD Automotive, one of China's largest companies, has selected Synaptics’ advanced touch screen controller solutions for its automotive touch screen applications. BYD is the world's best-selling manufacturer of electric vehicles and in the largest selling Chinese brand. They have a strong presence in the Americas with their widely adopted electric buses and a full lineup of automobiles. We also announced collaboration with Valeo, one of the world's leading tier one automotive suppliers. Valeo has been showcasing to OEMs automotive touch screens that combine feedback with our capacitive touch in ClearForce technology. Before I turn the call over to Wajid I would like to close in saying that despite the industry volatility that has negatively impacted our March and June quarter performance we expect to return to more normal seasonal growth patterns in the September quarter. In the meantime, our share across our markets remain strong, and our primary growth levers are starting to ramp as we continue to execute across our fingerprint authentication and TDDI road maps. Based on this progress we are excited to expand our customer base across our broad product portfolio and to begin to benefit from greater diversification of our business. As we have begun to demonstrate in recent quarters, we will continue to be diligent regarding the operating levers within our control with OpEx for the June quarter expected to trend lower than in the last several quarters. We'll continue to exercise our ability to buy back our shares as the opportunities arise. While there is plenty of runway ahead with our primary markets, we continue to expand our long-term growth prospects in areas such as auto where we are gaining traction with our product developments and partnerships in the ecosystem. This is yet another example of how Synaptics’ position as a human interface leader enables us to quickly become a strong force within these new markets. Since our IPO in 2002 Synaptics has weathered significant turbulence inherent in the end markets we serve. The company has a long track record of working through these challenges, delivering strong profitable growth and solid returns for shareholders. The first half of calendar year 2016 is just another short-term pause in our growth amidst ongoing macro economic conditions through which we remain undeterred in our commitment to growing the company. We expect to resume our growth trajectory in the second half of the calendar year as we commence fiscal ‘17. We are focused on winning and we have a tremendous global team. We are a leader in fast growing markets and we believe that our ability to innovate and expand the broadest human interface product portfolio in the industry positions us well for the future. With that I'll turn it over to Wajid.
Wajid Ali: Thanks, Rick. Revenue for the March quarter was $402.5 million, approximately 11% below the mid-point of our guidance range. Roughly half of the shortfall is attributable to the supply chain issues affecting our display driver business as Rick mentioned earlier with the remainder reflecting the broader weakness at the high end of the smartphone market. Year-over-year, March quarter revenue declined 16%, and sequentially was down 14%. During the quarter, we had three customers above the 10% threshold. These three customers ranged from 14% to 27% of third quarter revenues. Revenue mix for Mobile and PC products was approximately 88% and 12%, respectively. Revenue from mobile products was down 15%, compared with the year ago quarter and down 13% sequentially. Revenue from PC products was down 20% year-over-year and down 23% sequentially. Non-GAAP gross margin of 39.2% was slightly above the mid-point of our guidance range and primarily reflects overall product mix, and further represents a year-over-year improvement of 130 basis points. Non-GAAP operating expenses came in better than expected at $103 million, down $3 million from the preceding quarter. The decline was driven primarily by continued prudent management of our operating expenses, despite a rise in legal expenses, as well as the continued appreciation of the yen versus the US dollar. GAAP operating expenses in the March quarter were $123.3 million, which includes share based compensation of $14.5 million, and acquisition related costs of $5.8 million, consisting of intangibles amortization and change and contingent consideration. Our non-GAAP tax rate was 17% in the March quarter, while our GAAP tax rate was 6.4%. Non-GAAP net income for the March quarter was $46 million, or $1.21 per diluted share, a 28% decline year-over-year, as compared with $63.5 million or $1.65 per diluted share in the third quarter of fiscal 2015. Turning to our balance sheet, we ended the quarter with $406 million of cash, an increase of $34 million from the preceding quarter. Receivables at the end of March were $320 million, and DSOs were 71.5 days, while inventories were $133 million and inventory turns were 7.4. Cash flow from operations was $37 million for the quarter. We continue to adhere to our capital allocation strategy which we monitor closely. While we did not buy back shares during the fiscal third quarter, we continued to weigh that option relative to the other opportunities in front of us. We have historically been active in repurchasing shares under our stock buyback program, where we have $273 million remaining in our authorization. And we have a strong balance sheet to be able to resume that activity over the coming months. Capital expenditures for the quarter were $4.6 million, and depreciation was $7.9 million. Now I will make a few comments regarding our quarterly outlook. Factoring in the cautious approach to display driver product in the supply chain, and based on our backlog of approximately $121 million entering the June quarter, subsequent bookings, customer forecast, product selling and sell-through timing patterns, as well as expected product mix, we anticipate revenue for the June quarter to be in the range of $300 million to $340 million. We expect the revenue mix from mobile and PC products to be similar to our March quarter. We acknowledge that our revenue guidance fell significantly short of consensus estimates for the fourth quarter. The difference primarily relates to the continued impact of display driver products within the supply chain, as well as continued uncertainty within the high end of the smartphone market. While we expect this to be offset by growth in our TDDI products the near-term upside is limited by capacity issues based on the increased underlying demand for these products. We are working with our supply chain partners to alleviate these concerns. Taking into account our overall product mix, we expect non-GAAP gross margin to decline in the June quarter to approximately 37% to 39%. We expect non-GAAP operating expenses in the June quarter to be between $98 million and $102 million for the June quarter. We anticipate the FAS 123R charge in the third quarter to be in the range of $15 million to $15.5 million. GAAP expenses will also include non-cash charges of approximately $18 million, related to intangible amortization of which approximately $13 million will be reflected in cost of sales. We expect our non-GAAP long-term cash based tax rate for fiscal 2016 to remain in the range of 16% to 18%. Non-GAAP net income per diluted share for the June quarter is anticipated to be in the range of $0.30 to $0.60 per share. In closing, the near-term dynamics affecting the high end smartphone market have reduced our growth prospects for the fiscal year which will result in a modest year-over-year revenue decline based on our guidance for the June quarter. As we have indicated, we will take actions to size our operating expenses, consistent with our revenue outlook for the fiscal year. On the positive side, we anticipate continued customer acceleration for our fingerprint and TDDI product solutions, priming the opportunity for a stronger financial performance in the second half of the calendar year. With that, we will now turn the call over to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions] We'll go first to Rob Stone with Cowen and Company. Please go ahead.
Rob Stone: Hi, guys. I wanted to ask what are the indicators that give you confidence about the second half of the calendar year and when you talk about normal seasonable growth patterns, are you talking about relative to typical year-over-year growth for you or are we talking about sequential growth off of this very low base for the fourth quarter? And then I do have a follow up. Thanks.
Rick Bergman: Thanks, Rob. So I'll address it and then Wajid can add some additional color perhaps. When we talk about normal seasonable growth I would say, yes, more the historic pattern that Synaptics has. Now we're being very cautious, we don't want to guide the balance of our calendar year, there is a lot of turbulence that's going in the marketplace, but as you can tell from our press release and our subsequent remarks, we have had to pause a bit with one of our product lines and as you would expect with normal cycles and we get through the supply chain inventory issue that will kick back in as per normal. So we're not going to give precise numbers or anything like that for obvious reasons, but give you a little bit of color. That's where we see things going through the balance of the year.
Rob Stone: Okay. My follow up is on the fingerprint design wins. I think you said 20 different design wins for new phones and you also mentioned some new customers. But is that 20 with new customers other than -- not counting wins with Samsung?
Rick Bergman: That's correct, Rob. We have a number of new design wins, multiple design-ins with phones. You could have multiple phones per customer, of course, but we're quite happy with the progress that we've made outside of our traditional fingerprint customers.
Rob Stone: Thanks. I'll jump back in the queue.
Operator: Thank you. We'll go next to Kevin Cassidy with Stifel. Please go ahead.
Kevin Cassidy: Thanks for taking my question. On gross margins, I would think with this -- I would have thought with display driver business being down, the gross margins would move up. Can you just give us a little more of the dynamics of your various product exposures versus gross margin?
Wajid Ali: Yes, thanks, Kevin. This is Wajid. I'll address that. So yes, you're absolutely right. With our display driver revenues coming down quarter-over-quarter, we would expect that gross margins would have some level of uptick. But as we mentioned in our prepared remarks, we are seeing some weakness in the high end of the smartphone market, and the high end of the smartphone market is one of the places where our margins are generally richer from a product mix standpoint. And it's because of that product mix that we're having -- we're seeing lower gross margins moving into the fourth quarter.
Kevin Cassidy: Okay. And maybe just traction you're getting in TDDI, is that cannibalizing your touch customers now or are they brand new customers?
Kevin Cassidy: Okay. And maybe just traction you're getting in TDDI, is that cannibalizing your touch customers now or are they brand-new customers?
Rick Bergman: Well, for the most part I would say Kevin it's brand-new customers. As Wajid just mentioned we tend to be geared more towards the higher end of the marketplace, and in fact, for example right now a number of specifically the Chinese design wins that we have, you go led technology and our TDDI devices tend for the most part to be shipping more in the midrange area. Where we have gotten our design wins. So from a LCD manufacturer's perspective, many new customers there. You heard me rattle off those names in the prepared remarks. Some of them we've serviced in the past but probably at least half of those were new names. In them we actually talk about the OEMs, they've certainly used our product in the past. But again, it would tend to have been more high-end where with our TDDI solutions it's more midrange. Some high end phones, as well.
Kevin Cassidy: Okay. Thank you.
Operator: Thank you. We'll go next to Osten Bernardez with Cross Research. Please go ahead.
Osten Bernardez: Yes. Good afternoon. Thanks for taking my questions. I just had a couple questions with respect to the DDIC demand that you're seeing. How many customers would you say or any customers were part of that shortfall in demand in March? Could you discuss that at all?
Rick Bergman: Sure, Osten. As you can imagine we're always hesitant to get any specific customer news. There has been some press for multiple customers over the past week. I would say that the primary issue was with a limited number of customers, where the demand picture changed substantially towards the end of calendar Q1 and then into Q2. We'll say as indicated though, and again in the press over the last few weeks, overall in the high end of the smartphone market it's clearly not growing at this juncture and we're seeing the growth in the midrange of the market and even towards the low end. In some ways that hurts us as Wajid articulated. But in other ways we see our TDDI solution start to come out, it's actually providing a great deal of opportunity for us, as well. So we're happy, we're well positioned with TDDI and we've also been working on more value oriented fingerprint solutions, as well, and that's part of the 20 design wins that I mentioned during my prepared remarks, as well.
Osten Bernardez: Got it. And then secondly when you are noting the challenges at the high end outside of the DDIC opportunity are you speaking specifically towards the touch opportunity? Are you seeing any impact on the fingerprint side or are you just speaking generally for the whole company in terms of high end pressure? Because you seem to distinguish between the DDIC challenge but also highlighting high end smartphone demand.
Rick Bergman: Great question, Osten. So our fingerprint business is very robust. We're not putting it in that category. That's why we've been fairly specific, it's DDIC, now in some cases we have what's called two chip DDIC which it uses a discreet DDIC chip and it uses our touch controller. And those tend to be in cell type of solutions which are part of the high-end marketplace. So there is major customer issue and then to a lesser degree what I just described.
Osten Bernardez: Thank you.
Operator: Thank you. We'll go next to Rajvindra Gill with Needham & Company. Please go ahead.
Rajvindra Gill: Yes. Thanks for taking my question. I'm just trying to wrap my head around the miss because the miss is about $160 million for the June guide, which has been far worse than I think then a lot of other Apple suppliers, or at least some of the other Apple suppliers were able to offset it with growth in other areas. So just, I wanted to get a sense of how much of this is related to DDIC for June quarter? I know March you said was 50-50. If you could kind of quantify the June guide, because it implies a significant amount of units that were -- that must have had a correction.
Wajid Ali: Yes, Raj, I'll take that call and then Rick might want to follow up. So just a couple of things. First of all, we've seen a lot of weakness in our PC business, and we had talked about that the last time around. We were anticipating some weakness in the PC market. But I know you're asking about this fiscal year but year-over-year our PC market revenues have declined quite significantly. Simply because of what's going on in the market. Now, this -- these two quarters were more impacted by the mobile side of our business, and probably more than half of the $160 million that you're alluding to is related to our display driver product line. Significantly more than half is related to that. The remainder is the general weakness we're seeing in the high end smartphone market that Rick talked about in the last question. And as we mentioned our fingerprint business is still doing quite well. So you can kind of narrow it down to those three areas that I talked about earlier.
Rajvindra Gill: Based on that, and the ASPs, it implies there was between 40 million to 50 million units that were in excess, which seems so significant relative to I guess what others are saying. Is it how you're selling into the LCM market that's creating some of this volatility and just, Rick, on the September and December to get -- I just don't want -- want to have a better understanding of what the actual normal seasonality is because I haven't seen normal seasonality in this business for some time given you've acquired two companies in the past.
Rick Bergman: Yes. And I mean some of the frustration I'm hearing from you really has to do with the deepness of the supply chain that we've got as it relates to our display driver business. And so the demand signals that we are getting is from our LCMs. And those demand signals are not only determined right from the end customer but there is layers in between that they are then getting demand signals from us, as well. From those other partners, as well. So it's those -- it's that deepness of the supply chain that's causing the demand signal to change over time. And that's where you're kind of getting that 40 million to 50 million units, is because of the change in the demand signal over a lengthier supply chain.
Rajvindra Gill: Okay. Thank you.
Operator: Thank you. We'll go next to Vijay Rakesh with Mizuho. Please go ahead.
Vijay Rakesh: Yes, sorry about that. Just, when I look at your June quarter guide just to go back on the previous question, the 100 million, 120 million miss on the top line, if I look at this going back from December that's almost a 35% decline in revenues, and I was wondering if you could reconcile that? I know you took a step towards that but it's almost like the Intel Apple, maybe your personal business went away. I was wondering if there is -- based this on advancing the channel or variation into this guide or this is just] it's about the same and this is just reflective of end demand.
Wajid Ali: Yes, so I think it's all three things. So as Rick mentioned in his prepared remarks, we haven't had any market share losses that we can kind of point to for our display driver products. Now, the change in the guide you're absolutely right, it has to do with the product that's in the supply chain. And as the end customer demand has changed between the last time we provided guidance to now, that change in end customer demand along with corrections that are happening in the supply chain as a whole that's what's caused the variation in the amount of product that we're going to be shipping in during this period of time.
Vijay Rakesh: And when you -- go ahead.
Rick Bergman: Little more color as well, so in some ways, even if you go back to the fall time frame, there was certain expectations that parts of the market would grow year-over-year. Now we're here in the spring, actually the exact opposite happened and there has been significant decline. But once you buffer up growth and then you see decline you can imagine if you're way deep in the supply chain which does make us somewhat unique, that ripple through effect kind of hurts us the most as we get snapped at the very end. And so viewing all that and going through the analysis that we've done over the past few weeks as we said in the press release, we really felt it was the appropriate cautious approach to assume that the product that now is embedded in the supply chain is sufficient to cover the demand in this fiscal quarter.
Vijay Rakesh: And when you look at the 20 design wins that you talked about, are those all designs ins only and -- obviously you cannot speak to the volumes because we don't know how big those would be but are those more for kind of all ramping in the second half?
Rick Bergman: So let me speak to that a bit. We're a little more cautious now as even last quarter we had a government kind of step in and slow down some of our design inactivity, if you can understand my hint. Which was a little bit frustrating for us. But it's over a number of different customers over a number of different phones. And they are design ins, and the ramp is beginning. Won't have a major impact in this current fiscal quarter, just the nature of ramps that occur. But still we'll have some revenue from those design ins, and then through the course of certainly in Q3 and then into calendar Q4, definitely material to our fingerprints in our Company.
Vijay Rakesh: And one last question. One structural change in the industry as we look on is obviously you talked about some of the big market for all of next year and probably huge chunk the year after. You obviously dominate the LC type of display with touch. Can you give us some talks on how you see the -- how you're positioning for OLED that on the driver of the [indiscernible]. Thanks.
Rick Bergman: Sure. Absolutely. And actually as I was reading my remarks earlier I realized, hey, we didn't touch on OLED this time. Part of it is because nothing has really changed from that last conference call. We talked about how we were working on a multiple OLED device driver solutions and we continue to work on them, and we're marching away working with our customer base and developing world class technology just like we have for LCD displays as well. In terms of touch, we're one of the largest players already. There is one major supplier of OLED technology out there. And as I mentioned, for other reasons in the high-end smartphone market that you see at least from the Chinese and other OEMs, for the most part it's Synaptics touch controllers. So we understand what it takes to make a competitive touch controller on OLED and we'll continue to work with that major supplier as well as the other manufacturers that come online. And again, from an industry perspective we believe the majority of that capacity will come online more in calendar 2018.
Vijay Rakesh: Thanks.
Operator: Thank you. [Operator Instructions] We'll go next to Ambrish Srivastava with BMO. Please go ahead. Ambrish, your line is open.
Ambrish Srivastava: Hi. Can you hear me? Sorry about that.
Rick Bergman: We can hear you, Ambrish.
Ambrish Srivastava: Okay. Thanks. Sorry about that. I just wanted to get back to the guidance for the June quarter. And really trying to understand the weakness outside of policy [ph] we all know about. Samsung at least for now has indicated that they are so fine. So where is the weakness coming from? And I apologize if you addressed it, I'm juggling between calls. Where is the high-end weakness coming from? And then my follow-up is you know, Rick, inherently is in the supply chain, he was just answering the question on the complexity. Then how can investors have confidence on the back half? Because you just told us how complex it is and that's been the case, but you used to give us full-year guidance. So those were my two questions. Thank you.
Rick Bergman: Okay. I'll take the latter half of the question, and Wajid will discuss the first question. So in terms of the supply chain, unfortunately we don't have great visibility through the whole thing. Typically we ship into the LCD manufacturers that then may ship to an ODM that then -- will then put it on some type of transport, whether it's across the ocean on a ship or on a plane that then ends up possibly to a distributor that then moves it to a retailer and then eventually an end-user goes into that store and purchases it. And so we started to work much more closely with the LCD manufacturers at this juncture to get a real feel for what's going on. And we don't have a perfect answer going forward. Now, that being said, that's part of the reason why we're maintaining this very healthy cautious position on in terms of what we're doing in fiscal Q4, and we'll continue to be very cautious going forward. And we do believe they are called one-time events this time that made a particularly difficult for us giving the – how quickly things seem to change in the timing of our prior quarter and then the impact of this quarter. So all I can say is that as a team, we're going to continue to be even more diligent. Our business is becoming much more distributed as we move into TDDI, as well, and there is even more LCMs and so on, and our base will get more diversified going forward. And then Wajid, he was asking for clarity on Q4.
Wajid Ali: Oh, okay. So Ambrish, we had just mentioned a couple questions ago. So yes, more than half of the mess in Q4 is coming from our display driver business, with a smaller amount coming from our high-end smartphone business, primarily as it relates to touch. But really the vast majority of the shortfall is coming from our display driver products.
Ambrish Srivastava: And this is for the June quarter, I'm assuming, this is not a guide, right?
Wajid Ali: Yes.
Ambrish Srivastava: Okay. And is fingerprint going to grow outside of Samsung?
Rick Bergman: What was your question, Ambrish?
Ambrish Srivastava: The fingerprint business, is it going to grow outside of Samsung. So in China do you have that translating into it?
Rick Bergman: Yes, Ambrish, I think as I mentioned a little bit earlier we mentioned 20 design-ins that's from a variety of different customers in Korea -- excuse me in Japan, Taiwan and primarily China. And certainly you're going to hear about those coming forward and it will have material impact on our fingerprint and company business in the second half of the year in a pretty substantive way.
Ambrish Srivastava: Okay. Thank you. I apologize for making you repeat the answers. Thanks.
Rick Bergman: No problem.
Wajid Ali: That's fine. Thanks, Ambrish.
Operator: Thank you. We'll go next to Charlie Anderson with Dougherty & Company. Please go ahead.
Charlie Anderson: Yes. Thanks for taking my questions. I wondered if you could talk about whether fingerprint or biometric is up or down March to June quarter.
Rick Bergman: Sure. So we had a very robust March quarter with fingerprints, and part of that was tied to customer ramp. And we're very happy that particular customer is doing quite well with their product. Now, that being said, typically this year or prior years, there is a bit of a drop off from that big ramp. And so we'll see a little bit pull back on the fingerprint business, but overall we're quite happy with that particular business, and where we're going and what it will mean for the balance of the calendar year.
Charlie Anderson: Great. And then I wonder if you guys have any sense of sort of true demand in your business, sort of some inventory repositioning here it seems like in the supply chain. So as we move beyond June you guys have talked in the past about what the market looks like in terms of growth, what will be sort of an updated view and where true demand is for all your end-markets?
Rick Bergman: Sure. And I'm not sure if you're referring to any particular customers there or not, but we closely follow the analysts’ reports and do our best jobs on tracking various customers and how they're doing. But as we've all seen over the last six months there has been very wide variance over projections as well as projected versus actuals. So I'm not sure anybody had a good enough crystal ball to call this particular spring situation that occurred. But more broadly, which I think you're hinting at is, what do we believe about the core markets. On the smartphone side, I would say, we're planning for 6%, 7% overall growth rate year-over-year -- calendar year-over-year and that's what we're building into our financial plans, and that seems to be consistent with I think most market analysts, if not slightly on the conservative side. On the PC side, specifically the notebook side, as Wajid alluded to, I think we all had hoped that as we got to some good year-to-year compares that the PC and notebook market would come around, but again as we saw, it looks like there was a negative 11% decline year-over-year in calendar Q1. So again, we're going to be cautious and plan on negative growth calendar ‘16 over ’15 at this juncture. Again, it will probably be negative 6%, 7% range. We're certainly hopeful as we move into Q2 and Q4 that we don't quite see that double-digit decline that we saw in Q1. Does that cover the question, Charlie?
Charlie Anderson: Yes, absolutely. Thanks so much.
Operator: Thank you. Our last question comes from Tom Sepenzis with Northland. Please go ahead.
Tom Sepenzis: Hi, thanks for squeezing me in. I'm just curious if you could talk a little bit or give us a little more color on the capacity issues you're seeing on the TDDI side and when you think those might be alleviated?
Rick Bergman: Sure. So we have seen a really steep ramp in one of our TDDI products. And so that's the encouraging part, because as we mentioned, these are geared towards the high volume mid-range solutions. And as part of that it's just constraining us a bit in this quarter, and we'll have news how we're going to alleviate those concerns over the next couple months. But it's just a temporary thing that's having some minimal impact on our current ramp or quarter, but we're working through that like we normally do, work with the supplier to increase our way for allocation. This tends to be the tight time of the year with the semiconductor fabs, as everybody gears up for the consumer and holiday cycles that come up in the second half of the year. So, it's not unusual for us. We fight through it pretty much every year. This particular time it was just because we were ramping this new through product in a new process technology, the steepness of the ramp caught us a bit off guard.
Tom Sepenzis: Great thank you. And then in terms of just how the second half of the year develops, I mean, do you expect a pretty big snap back or is fiscal ‘17 likely to be down year-over-year for a second year in a row?
Rick Bergman: So Tom, we obviously knew this is where -- the analysts will certain want to understand where we are in fiscal ‘17, but to a certain degree, we've been taught a bit of a tough lesson in terms of what -- how far out we should project and so on. So we're trying to give you the best color we can that we believe we're seeing for the most part a one-time event here. And as we move into fiscal ‘17, we hope some of the customers that we deal with are going to snap back and the industry will snap back to use your terms, and we aren't losing share. We think we got great products. We've got some new growth coming in with TDDI and fingerprint that we'll be definitely stronger than a year ago in terms of revenue and so on. So we're certainly -- I am certainly optimistic that Synaptics will come back as we've done many times over a 30-year history. But in terms of saying X% or this many dollars, we're not going to go there at this time, and we'll talk to you again in July when we have that visibility on fiscal ‘17.
Tom Sepenzis: Thank you. I appreciate it.
Operator: Thank you. It appears we have no further questions at this time. I'll turn it back to management for any additional or final remarks.
Rick Bergman: Okay. Well thank you again everybody for joining us. We had a lot of news again this quarter. I certainly look forward to updating everybody over the course of the next few months or again at the next call in July. Thank you very much.
Operator: This does conclude today's conference. We appreciate your participation. You may disconnect at any time and have a great day.